Operator: Good afternoon, ladies and gentlemen, and welcome to the Q4 and Full Year 2020 Evolus Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's conference is being recorded. I would like to introduce your host for today's conference, Mr. Ashwin Agarwal, Vice President, Finance, Investor Relations and Treasurer. Sir, please go ahead.
Ashwin Agarwal: Thank you, operator, and welcome to everyone participating on today's call. This call is also being broadcast live over the internet at evolus.com, and a replay of the call will be available on the company's website for 30 days. With me on today's call are David Moatazedi, President and Chief Executive Officer; and Lauren Silvernail, Chief Financial Officer and EVP, Corporate Development. In our remarks today, we will include statements that are considered forward-looking statements within the meaning of the United States security laws. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current assumptions and expectations of future events and trends, which may affect the company's business, strategy, operations or financial performance. A detailed discussion of the risks and uncertainties that the company faces is contained in its annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Actual results may differ materially from those expressed in or implied by the forward-looking statements. The company undertakes no obligation to update or review any estimate, projection or forward-looking statement. Additionally, the discussion today will include non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release, which was furnished with our Form 8-K filed today with the SEC and may also be found on our Investor Relations website at investors.evolus.com. And now let me hand the call over to David.
David Moatazedi: Good afternoon and thank you, Ashwin. It is a pleasure to be here with you today and to have both the uncertainty of the ITC case behind us and clarity around the financial support from our partner, Daewoong. As I look back on 2020, I'm very pleased with the overall performance of the company and the underlying strength of the aesthetic neurotoxin market recovery, despite the headwinds of COVID and the ITC case. As we transition to 2021, we are very bullish on the aesthetic neurotoxin market and expectations for Jeuveau. We expect the U.S. aesthetic neurotoxin markets will achieve $1.5 billion in value this year, marking a new high for the category. We believe this to be the case because of the strong V shaped recovery observed in the back half of last year, where in the third quarter, we saw the market return to pre-COVID levels. And by the fourth quarter, the market eclipsed all-time highs. Consumer market trends are also favorable, with the fast-growing millennial segment on track to represent the majority of neurotoxin users within the next several years. We remain confident that Jeuveau is optimally positioned against this demographic due to our brand positioning, value of our consumer loyalty program and digital orientation. We were pleased to see this positioning reflected in the composition of our user base, which over-indexed against millennials, which represented approximately 40% of Jeuveau users as compared to approximately 30% for the overall market. In February, we pre-announced 2020 revenue with Jeuveau experiencing a faster recovery in the second half of 2020, as compared to the broader aesthetic neurotoxin market. Despite the litigation backdrop and sales impact in the fourth quarter from selling under a bond for two weeks. We have built a resilient business by laying the foundation of our value proposition, beginning with the launch of Evolus Rewards, our consumer loyalty program. In the back half of last year, we launched Jeuveau co-branding initiatives made up of digital ads and billboards, which are earned when customers achieve certain purchase levels in our Evolus pricing program. This aligns our brand building activities directly with customer interest in expanding their millennial patient base. As a result, our Jeuveau business experienced strong underlying business trends coming out of the second half of 2020, where we added greater than 2,000 accounts during the year, with these trends continuing into the fourth quarter with nearly 600 accounts added. Our reorder rates continue to rise, reaching a healthy 72% by year end. In just two full quarters on the market, we were able to enroll over 110,000 patients into Evolus Rewards, which speaks to the value of this program to both the doctor and to the patient who receives $40 off of every treatment. We believe we have the recipe to unlock the full potential of Jeuveau with our direct-to-millennial strategy. Looking forward, we expect the second quarter of this year to mark the first quarter since commercialization where the market will benefit from the full Jeuveau value proposition. As a result, we expect the second quarter of 2021 net revenue will hit an all-time high as we drive greater utilization and practices, and Jeuveau brand awareness with consumers. Let me turn the call over to Lauren to provide you with the financial update.
Lauren Silvernail: Thank you, David, and good afternoon, everyone. At the beginning of 2021, we embarked on a two-pronged strategy to strengthen our balance sheet and resolve all legal matters related to the ITC case. First, we eliminated a total of $127 million of debt and milestone obligations. In January, we paid off $76 million in senior debt with Oxford Finance. In March, we extinguished $41 million of convertible debt when Daewoong agreed to an early conversion into Evolus common shares and the elimination of $10.5 million of current and potential future milestone payments. In addition, Daewoong is providing us with $25.5 million as a cash infusion, which will be called out as a GAAP to non-GAAP adjustment to operating expenses in the first quarter of 2021. All combined, the financial restructuring plan we successfully completed this quarter has resulted in a stronger balance sheet with a pro forma cash position at December 31, 2020, of $57 million. Second, we resolved all legal matters related to the ITC case with all parties, Medytox, Allergan, and Daewoong. What this means to us financially is we will pay $35 million over two years, which is fully offset by the Daewoong cash payment to us and the elimination of future milestones. With regard to royalties, there are two time periods. The first time period is the 21-month period from mid-December 2020 through mid-September 2022. During this time, Evolus will pay $1 amount per vial sold in the United States. During the same 21-month period, Evolus will also pay a low double-digit royalty on international sales. The impact of which is expected to be nominal through September 2022. The second time period is the 10-year period beginning mid-September 2022. During this time, Evolus will pay a mid single-digit royalty on our global net sales, which is expected to be offset by a nominal U.S. price increase. As such, the settlement economics are not expected to materially impact gross margin after September 2022, which is now only about 17 months away. The settlement agreements with all three parties result in an expected 2021 corporate gross margin percentage between 50% and 55%, excluding the first quarter, where we have $25.5 million, the cash infusion from Daewoong, which will be booked into operating expense. This temporary gross margin profile is expected to have partially no ability, no impact on our ability to drive continued growth of Jeuveau while maintaining our competitive pricing. Transitioning to the strong 2020 performance David discussed, our fourth quarter 2020 net revenue of $20.6 million was our highest quarterly Jeuveau net revenue to-date. Q4 net revenue increased 16% sequentially over Q3 2020. As a reminder, we had minimal sales in the last two weeks of Q4, as we were selling under a bond beginning mid-December 2020. Turning to the first quarter of 2021, we recorded minimal net revenue through mid-February as we continue to sell under a bond. As you model your first quarter revenue, you should assume revenue for only half of the first quarter. We expect Q2 2021 to be our strongest net revenue quarter since launch. As it relates to our international business, we expect nominal 2021 revenue from Canada and expect European sales to begin in 2022. Moving down the P&L, our fourth quarter 2020 gross margin percentage was 64.6%. Consistent with commentary provided on prior calls, our gross margin will depend on sales levels, promotional activity and other factors. Our fourth quarter 2020 non-GAAP loss from operations were $12.2 million. Of note, we improved our 2020 full year non-GAAP loss from operations to $54 million by 33% compared to 2019. Our pro forma cash at year end 2020 was $57 million, representing December 31, 2020 cash of $107.6 million plus $25.5 million of cash being provided by Daewoong, less $76.4 million for the Oxford Finance debt payoff earlier this year. Cash burn during the fourth quarter was only $3 million due to favorable changes in working capital, including high revenue collections and no cash payments for inventory during the quarter. We expect our cash burn will be higher in Q1 2020 since – excuse me, higher in Q1 2021 than Q4 2020. As a result of the recent settlement agreements, we have 43.7 million shares of common stock outstanding. With that, I'll turn the call back to David.
David Moatazedi: Thank you, Lauren. As we close the books on 2020, I would like to take a moment to thank our Evolus employees for the incredible resilience they have shown through what was an extraordinary year filled with challenges. I would also like to extend my thanks to our Evolus customers, many of whom wrote letters in support of our cause. I've always believed that customer centricity powers this company. We would not have reached this outcome without their unwavering support. We have a renewed level of energy employees as we enter 2021. We have proven that an aesthetic company positioned against a younger demographic with a focus on technology creates a unique differentiation. In 2020, we laid the groundwork and now our focus is on execution. We expect our launch trajectory to continue that we will look to accelerate our market adoption by surrounding the customer with our full value proposition. Separately, we're actively developing plans for European launch, which we expect will take place early next year as we look forward to entering the second largest market for neurotoxins in the world. Lastly, we will be pursuing further market expansion by gaining approvals in additional countries in the years following. With that, I'll turn the call over for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Marc Goodman with SVB Leerink. Your line is open.
Marc Goodman: Yes. Good afternoon. A couple of questions. First, you mentioned that you expect the market to be $1.5 billion this year. Can you just give us a sense of what was that number in 2020 and remind us what it was in 2019? And then second of all, Lauren, just give us a sense of how the company is thinking about spending. Obviously, this past year was an unusual year. But with things starting to open up a little bit and, obviously, with the uncertainty going, how are you thinking about advertising and promotion dollars to kind of spend and the number of sales reps you're thinking about? Just give us a sense of that. Thank you.
David Moatazedi: Hi, Marc. This is David. I’ll take the first part, and then hand it over to Lauren. Good question on the market value. I'll give you the numbers first and then I'll give you my color second. So we valued the market at about $1.3 billion U.S. market in 2019. And then the market declined to $1.25 billion in 2020, and we expect it to clip back up to $1.5 billion in 2021. So it gives you a sense for the high growth rate we expect to see, even when you compare it against the 2019 periods. It’s a healthy growth rates. But as you know, Marc, when you look at $1.25 billion in 2020, the decline doesn’t tell the whole story. If you did a front half, back half view, what you’d see is the back half of the year in 2020, the market grew overall it’s the front half of course, because that COVID period that you see a significant decline. So effectively COVID was a two month – two quarter pause on the market overall and growth. But what you saw was the market rebounded very quickly. No different than what we observed during last recession in the late 2000 period. And this market has shown now multiple times when it’s been tested that it’s very resilient. These consumers come back and they come back quickly as they prioritize this treatment over other out-of-pocket expenses that they have. And it’s great to see that strong trajectory to end the year, and we feel very good about that carrying into this year.
Lauren Silvernail: Marc, good afternoon. To take the second part of that question on operating expenses. For the December quarter in 2020, we did $25.5 million of non-GAAP operating expense. If you look at that it’s a good average proxy for this year on a quarterly basis, some will be higher, some will be lower. And with regard to investments, we are continuing to invest heavily in the business with infrastructure and legal costs, largely behind us we’re able to really redirect all of our expense investments directly into things close to the customer and the programs that David talked about. And as far as number of reps, we’re going to continue to invest where it makes sense. So see us over the course of this year while managing them carefully making those investments and shifting the mix to make sure we drive sales growth.
Marc Goodman: How much do legal expenses go away? Can you just give us a sense of how much you spent on that this past year?
Lauren Silvernail: Some of that will be reimbursed as well, but basically if we look at it, it’s in the low single millions to the mid – low to mid single millions. A lot of our legal expenses were paid by day one.
Marc Goodman: Thank you.
Operator: Thank you. Our next question comes from the line of Annabel Samimy with Stifel. Your line is open.
Annabel Samimy: Hi. Thanks for taking my questions and congratulations on resolving all those issues. I have several, actually. So first on the dollar amount that you have to pay ProBio during the 21 month period. I know it’s undisclosed, but does it provide you with sufficient flexibility to continue to offer the discounts for the customers and maintain the consumer programs? Or does this take away your edge vis-à-vis other competitors. So that’s the first question. The second, now that you have certainty in the revenue line is there any additional investment that you feel like you need to make and build out in the operating platform anything in the digital platform you need to bolster, anything in terms of personal outreach that you can do especially as we’re entering a more competitive environment. And then finally, I know it’s hard to discuss business development, but are you now in a position to consider it with the current cash levels that you have? And how do you balance that against the desire to break even? So thanks.
Lauren Silvernail: So, let me start-off on the dollar side on the royalty and make sure I answer your question there, Annabel. When you look at the gross margin profile of the business right, after we take into account all the puts and takes of the payments in and out from the settlement, we ended up in a really nice position. Last year we ended the year when you look at the fourth – when you look at the year overall, it’s 8% in the fourth quarter, around 64%, 65% gross margin. So for 100 to 150 basis points, we’re able to put the whole legal case behind us, along with all the other details of course. That leaves us in a really strong position to continue the same type of pricing programs we’ve had and actually to dial up our promotional spend this year. And we’re measuring it very carefully versus return on investment because the best way to fund our business is to grow sales. And the return on investment comes very quickly at the stage we’re at, because we’ve already built out the infrastructure to your second question. Obviously, we continue to invest in improvements to our digital app and our software platform, and we continue to invest in our design team. They’re a huge part of our competitive advantage but all the big investments have been made there. And now we’re really continuing to streamline and work on that. So not a lot of investment dollars behind the scenes. I think your next question was business development, unless I missed that one.
Annabel Samimy: Yes.
Lauren Silvernail: David will take that one.
David Moatazedi: Yes, sure. Let me just go down on one last question on the first point, Annabel around the customer. There is no significant impact pricing to the customer. We did take a nominal price increase once we did complete the settlement, but that nominal price increase it allows customers as they move up our Evolus tiers to effectively maintain the same pricing. So what we’ve heard now back from customers is number one, we continue to maintain our value proposition, which is on average, greater than 30% savings relative to the market leader. That was what we wanted to ensure maintained through the settlement. And fortunately, we were able to do that. Thanks to the announcement we made maybe yesterday related to our partners support. As it relates to future investments, as you know, Annabel, last year, when COVID first struck, we reduced our expense base by nearly 40%. And we leaned into our digital platform that created a level of efficiency within our operation that frankly changed the way that we look at investments going forward. We continue to build our digital platform and find that customers are transacting on that program, as well as our loyalty program has created a very efficient way for them to pass on savings to the patient. At this point in time, it’s unclear as we scale up how much we need to add infrastructure in terms of head count relative to continuing to lean into the digital structure. And we think we have an efficiency that as we continue to scale, we can reap the value from. So you shouldn’t expect meaningful increases in terms of our internal headcount structure going forward. What you should expect is, incremental investments that are very thoughtful as Lauren pointed out that we'll have high ROI associated with them.
Annabel Samimy: Great. And then last on the balancing business development with cash breakeven?
Lauren Silvernail: Sure. If you look at the types of business development that we're able to do today, we can look at it a couple of different ways. If we decide to add something to our pipeline, which is something we could do down the road. Most of those do not come with a high upfront payment. So we're in a strong position to do those because they tend to be structured as pay as you go. And anything that's a marketed product is often a larger deal. And the stock these days is actually at a very nice level as a currency. That said, we're considering all of our options very, very carefully as we come out of this COVID period and as we continue to grow the business.
Annabel Samimy: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Louise Chen with Cantor. Your line is open.
Louise Chen: Hi, congratulations on all the progress you've made and thanks for taking my questions here. So you gave some good color on first and second quarter sales. Just curious if you're thinking third and fourth quarter, it'll be sequential quarterly increases over the second quarter. Second question I had was, your market share now, how has it improved throughout the year? And do you still plan to get to the number two player? And then last question here is, just cash runway. You noted a pro forma number. Where does that take you to or what kind of milestones will you meet through – with that cash value in place? Thank you.
David Moatazedi: Thanks, Louise. I'll take the first two and then I'll turn it over to Lauren to answer your last question. Look, we believe that this year we continue to see strong momentum throughout the year, recognizing of course that there's a seasonal dynamic in this market that the third quarter is generally the lowest volume quarter for our customers of the year. So factoring for that, we do expect that we'll continue to build momentum as our value proposition continues to build, and we track all the lead metrics and those lead metrics are new accounts. And we continue to see that number move up into the right. We track reorder rates, and we continue to see those numbers every quarter move up and to the right. We also track consumers entering into our loyalty program. Of course, that's now just entering its third full quarter, and of course, that's continuing to perform very well for us as well. And all the co-branding initiatives would be the last item in. All of those lead metrics for us continue to show strength. I've spent a significant amount of time now in speaking with customers. And what I'm hearing back is, this is a very different value proposition than what others do. And I think you're familiar with the space. I believe that it's been about portfolio selling and trying to bundle one brand and reduce the price on another. And what we're bringing to the market is very different. We introduce our value proposition of pricing tier 1. So it really isn't about the price any longer. It's about how we build their business and what we're introducing with our singularity and focus is an entirely different value proposition. When we advertise it's our customer with our brand together in digital or in billboards. And that's something that's very compelling because as they invest more into Jeuveau, we invest back into that customer and that's neutral relationship drives a lot of value in growth for them, and of course, growth for us as a brand. So we feel very good about what that will do over the coming quarters. We expect that to continue to build momentum and that plays into your second question around share. In that, in the back half of last year, we believe our growth outpaced the overall market by meaningful amount, despite the fact that we were impacted by the bond period in the fourth quarter. And then of course, that bond period was a pause on our launch trajectory and it straddled both the fourth quarter and half of the first quarter before we were back in terms of able to perform at the levels we were before. And so we expect now, as we reenter into our first full quarter without the bond impact in Q2, that we regained a lot of that momentum. And that means share uptake that comes in the form of continued share penetration in the market. So with that, I'll turn it over to Lauren to answer the last one.
Lauren Silvernail: Great. Thanks, Louise. So on the cash runway, that's way for us to generate cash as a course to sell Jeuveau and that continues to be the case going forward. So as David mentioned it in his remarks, we'll continue to invest into the growth of Jeuveau as our highest of opportunity set. With regards to cash, our cash runway is less than 12 months. But that is something, when you look at the fourth quarter, we burned about three there. We will burn a little more cash this year, certainly, as we have a few other things left to pay for. For example, we have a $15 million milestone due under our settlement agreements this year. But puts us all in a very good position, able to price Jeuveau where we want invest in the business as we're thinking. And as we look out there, we've never had trouble financing this business. It's always gone very well for us, stocks in a very good place, and we're pleased with our progress.
Louise Chen: Okay. Thank you very much.
Operator: Thank you. Our next comes from the line of Gregg Gilbert with Truist Securities. Your line is open.
Gregg Gilbert: Thanks. Good afternoon. David, what are the implications of Medytox and Daewoong being significant shareholders and how long are they locked up? And can you confirm that you have free reign to pursue any strategic opportunities you and the company see fit?
David Moatazedi: Hi, Gregg, let me talk a little bit about the strategic implications of Daewoong and Medytox, and then I'll let Lauren talk a little bit about their shares and how we see that [Audio Dip]. The first is as you saw in Lauren's coverage of the settlement itself, Daewoong continues to be a strategic partner for us. They're more than a shareholder, frankly. This is a relationship that we see over the long-term. We have the licenses now in two of the largest markets in the world between the U.S. and Europe, and they want to see the business continue to grow. And of course, we represent the large majority of the revenue that Daewoong developed in their neurotoxin business. So that strategic relationship is very strong. Separately, as you know, there's ongoing litigation in Korea between the two companies Daewoong and Medytox and that is why as we work through the settlement we were pleased to make Medytox ****28**** ***28-34*** ongoing litigation in Korea between the two companies Daewoong and Meditoxin that is why as we work through the settlement we were pleased to make Medytox a shareholder to align our long-term interests. In the near term, those long-term interests appear around the opportunity to ensure that this company has no future risks, as it relates to litigation, we’ve resolved now all outstanding issues, but there’s also opportunities beyond that that will provide color on as we get into the future as it relates to other potential entrants that may enter the market. And those are things will give color on as we make progress into the year.
Lauren Silvernail: Great. Hello Gregg, with regard to the lock-up agreements, et cetera, and the shares, with regard to Medytox, they are locked up through 2025, that – those that 25% a year beginning 2022. And with regard to Daewoong, the shares are unregistered.
Gregg Gilbert: Okay. And then a follow-up is, Lauren any safety tips on just the quarterly lumpiness of SG&A, and for David, I’m curious how your BD activity levels have evolved based on COVID, based on pre-settlement, now post-settlement, and maybe more importantly looking ahead as you think about broadening out the portfolio overtime, would you encourage us to think about somewhat, let’s say typical strategy we’ve seen for other FedEx players or more something outside the box that that we haven’t seen before from a company evolution standpoint? Thanks.
Lauren Silvernail: So, on the SG&A question, I think it’s probably helpful to look at it from a total non-GAAP operating expense basis. We reported $25.5 million in the fourth quarter of 2020 for non-GAAP OpEx. That’s a good proxy for a quarterly average for us for 2021. It’ll be a little higher and a little lower, depending on the promotional mix we employ in the specific quarter. We will continue to invest in promotion as we have been doing, but obviously we’ve become more efficient with our rewards program. And it allows us to redirect dollars in the Evolux billboards and in the digital media that David’s been talking about. We really have a very disciplined approach around looking for return on investments. And we’re pretty ruthless with making sure we pick those programs and continue to grow those programs that are generating the sales dollars that immediately fund the business.
David Moatazedi: Thanks Lauren. And Gregg, as it relates to business development, clearly this is a priority area for us and the litigation put a pause on some of our business development activity. And that being said, you made an interesting comment around do you follow the same path, or do you consider different approaches. As you know this market today, whether it’s the market leader or those that follow they’ve neared a similar strategy, it’s about building a portfolio of products to leverage one against the other for better pricing. And that’s ultimately been the point of differentiation is both breadth and the ability to leverage. As we look at our business today, we like our singularity and focus. I shared with you earlier as to why we think that singularity and focus is an advantage when all the other competitors are focused on their portfolio and how they bundle them, because we believe our pricing delivers the value, but it’s about growing the market that ultimately cracks the real value of this category and unlocks it. Separately, as we look at assets, there are a few criteria that we apply to it. It’s not just about adding the next asset, as you know. It’s about having high quality, durable assets and those assets that we believe that younger demographic will gravitate to. And that is how we create the next category in aesthetics. And so we will provide more color around our business development strategy, you can expect that this year as we begin to spend more time on that. But thanks for that question.
Gregg Gilbert: Thanks guys.
Operator: Thank you. Our next question comes from the line of Vamil Divan with Mizuho. Your line is open.
Uy Ear: Hey guys, this is Uy for Vamil. Few questions. First, I guess, could you talk about your European launch that’s expected in 2022? It seems like just in terms of geography and it looks like you’re doing it on your own or are you going with a partner? And the second question is, I’m just wondering like before the pause and the 40% reductions in your operations versus now that you are out of the – you’re in the clear with on the ITC issue, I was wondering like, what is the difference in terms of the need for more reps than versus now going forward to grow your revenue like what has changed? Thanks.
Lauren Silvernail: Thanks for the question. With regard to Europe, we’re excited and when you look at what run over this quarter to unlock value with our expanded partnership with Daewoong, we’re really ready to get this in Europe. And we’re very pleased with where we’ve landed on that. We are in the process right now, looking at our strategy with our trip with them we have the ability now to launch on our more to use distributors and give you more color on that strategy as the year rolls out, our Chief Marketing Officer Crystal Muilenburg is through all those details now, because as you know, Europe is not a country, it's a region and we're going to put together a very clear strategy to make sure we're highly successful there.
David Moatazedi: And then Vamil, that's a good question around, what has changed, I'd characterize the three things that have change. The first is macro environments changed so that the trend towards digitization clearly accelerated, as a result of COVID. And that's like well into our hands. And then in addition to that, we made significant infrastructure changes to reduce our burn out of necessity, frankly. But what that yielded to us was clarity in that as we leaned into our digital platform, the market rapidly adopted it and used it, which created an efficiency about our business, that was much greater than what we had anticipated. As I mentioned before, the majority of our orders now transact through our digital platform. And then lastly, we have the hindsight now of seeing this product now in the market for almost two years and as we look forward, what we see is every incremental dollar, the driving more value around the customer versus just a salesforce trying to push product into account. And that's why you're seeing the increased focus around digital co-branding and billboards and things of that nature, because what these accounts are hungry for our new patients. And what we believe we have is the code that cracks the new patient against that younger millennial demographic. And that is the fastest growing segment, and we believe this brand is well positioned for it. And so, to the extent, we can invest to make these practices more productive, we believe that, that yields the best return for us in both market share penetration, as well as long-term stickiness in this market. And so, we'll look to continue to selectively invest and there will of course be requirements for some additional resources as it relates to the salesforce. But it will – we believe that this efficiency carries for this company long-term and we feel very good about our ability to do that over time. And you see that evidence in the fourth quarter, where revenue hit an all time high on this lower spend base, and we believe that's very sustainable.
Uy Ear: Okay. Thanks.
Operator: Thank you. Our next question comes from the line of Douglas Tsao with H.C. Wainwright. Your line is open.
Chris Bialas: Good afternoon, everyone. Chris Bialas on for Doug Tsao. So two for me, once that initial higher royalty periods through 2022 is over, how if at all will your promotional strategy change? Can we maybe expect more spend maybe an increase in BD activities or a new marketing campaign? And my second question is which ex-U.S. geographies, other than the EU are you targeting? And can you give us a little more color on that strategy? Thank you.
Operator: Douglas, you may resume.
Chris Bialas: Hey, so this is Chris Bialas on for Doug. So two quick ones, the first one is in 2022, once that higher royalty period is done, how if at all will your promotional strategy change? Can we expect any different, maybe a more marketing spend made more BD activities? And second, which ex-U.S. geographies are you thinking of expanding to, and maybe, can you give us a little more color on your plans there, aside from Europe, of course? Thank you.
David Moatazedi: Hi Chris, this is David. Thanks for the question. I'll touch on the royalty period after 2022, when that initial royalty is resolved. Nothing changes, the reality of it is even now our plans for this year, as well as next year during this royalty period, we plan to invest, we plan to drive the revenue to the same levels and ultimately review this – what's remaining at 17 months as the tax period that we will pay, it impacts obviously our operating profit during this window. But this is about building a company for the long-term. And so that investment will persist beyond, but once it goes away, of course, it creates a business with a better margin profile which means potentially the operating profit could be greater and gives us the ability to think about how we can use that capital in different ways, of course, as you pointed out. So with that, I think I answered the business development question, but I'll turn it over to Lauren as well, maybe she can give you some color that you're looking for further information.
Lauren Silvernail: Sure. Let me know if I'm not getting your question right, because it broke up a little bit on our side. What I heard is what are our plans internationally beyond Europe, was that the right question?
Chris Bialas: Yes, just what geographies, maybe what's your thinking over there?
Lauren Silvernail: Absolutely. We have a fantastic product that needs to be lost in all the territories that are in our license, and so Europe is approved now and we are ready to go with that planning and launch in 2022, early 2022. With all the deals done this quarter and particularly with the restructuring of our license with our strategic partner Daewoong, it really opens up some of the terms, et cetera, the rest of the world and our license. So look for us to provide more color as the year goes on, but we will be doing filings and at least in one jurisdiction a little bit of clinical work to make sure Jeuveau and aesthetics is actually new seeds of the brand outside the U.S. is launched in our territories over the next few years.
Chris Bialas: Awesome. Thank you so much.
Lauren Silvernail: Thank you.
Operator: Thank you. I'm showing no further questions in the queue. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.